Operator: Hello and welcome to the LyondellBasell teleconference. At the request of LyondellBasell, this conference is being recorded for instant replay purposes. Following today's presentation, we will conduct a question-and-answer session. [Operator Instructions] I'd like to now turn the conference over to Mr. David Kinney, Director of Investor Relations. Sir, you may begin.
David Kinney: Thank you, Jacqueline. Hello, and welcome to LyondellBasell's First Quarter 2019 Teleconference. I'm joined today by Bob Patel, our Chief Executive Officer and Thomas Aebischer, our Chief Financial Officer. Before we begin the business discussion, I would like to point out that a slide presentation accompanies today's call and is available on our website at www.lyondellbasell.com. I would also like for you to note that statements made in this call relating to matters that are not historical facts are forward-looking statements. These forward-looking statements are based upon assumptions of management which are believed to be reasonable at the time made and are subject to significant risks and uncertainties. Actual results could differ materially from those forward-looking statements. For a more detailed information about the factors that could cause our actual results to differ, please refer to the cautionary statements in the presentation slides and our financial reports, which are available at www.lyondellbasell.com/investorrelations. Reconciliations of non-GAAP financial measures to GAAP financial measures together with any other applicable disclosures, including the earnings release are currently available at our website. Finally, I would like to point out that a recording of this call will be available by telephone beginning at 1:30 PM Eastern Time today until 12:59 AM Eastern Time on June 25th by calling 888-568-0028 in the United States and 203-369-3451 outside the United States. The pass code for both numbers is 3108. During today's call, we will focus on first quarter results, the current environment, our near-term outlook, and provide an update on our growth initiatives. That being said, I would now like to turn the call over to Bob.
Bob Patel: Thanks Dave. Good day to all of you participating around the world, and thank you for joining our first quarter earnings call. Let's begin with Slide 3 and review the highlights. During the first quarter, our Company demonstrated strong operational performance and moved forward on our value-driven growth strategy by advancing our business portfolio and delivering on synergies. Sales volumes for our Olefins & Polyolefins, Europe, Asia and International business increased to levels seen during the first and second quarters of 2018, while profitability improved to regain some of last year's margin compression, more than doubling our fourth quarter EBITDA for that segment. Across the Company, five of our six business segments improved upon fourth quarter profitability. First quarter earnings were $2.19 per share, which represents a 22% improvement over the previous quarter. We continue to actively manage our business portfolio by acquiring a synthesis gas plant in La Porte, Texas. This acquisition included a minority interest in our former methanol joint venture at the site. The same gas plant converts natural gas into raw materials that we use in the production of methanol and acetic acid. We expect the transaction will provide synergies and operational efficiencies to generate accretive returns and materially exceed LyondellBasell's high standards for investment. In the seven months since we closed on our acquisition of A. Schulman in 2018, our synergy capture increased to an $85 million annual run rate by the end of the first quarter. This represents more than half of the annual synergies we initially expected to realize within two years. These synergies are becoming apparent in our advanced Polymer Solution's profitability and we anticipate exceeding our initial $150 million annual synergy target. Our organic growth program is in full swing with our new hyper-zone polyethylene technology approaching a third quarter start up in La Porte and considerable progress underway on construction of the world's largest propylene oxide and tertiary butyl alcohol plant at our sites in Channelview and Bayport in Texas. This new capacity from these investments will serve global market's growing demand for polyethylene, polyurethanes and transportation fuels. As we continue our evaluation of the potential transaction with Braskem, the Company remains committed to a strong and progressive dividend while pursuing opportunistic share repurchases. LyondellBasell returned an additional $884 million to shareholders through dividends and share repurchases during the first quarter. All of our capital allocation decisions are guided by our commitment to be a solid investment grade Company. Two years ago, at our Investor Day in New York, we described how LyondellBasell's resilient business portfolio and a more balanced approach to capital deployment would provide strong shareholder returns while also supporting long-term value driven growth. I'm pleased to report that during the first quarter, employees of our Company continued to deliver on these promises and advance the strategy. Each year marks a fresh start for tracking safety performance and 2018 will be the first full year where our metrics include the 20-plus percent of our workforce who joined LyondellBasell with the Schulman acquisition. Prior to the acquisition in 2018, Schulman's injury rate was 1.54, seven to eight times higher than typical LyondellBasell performance. On Slide 4, you can see that our first quarter combined safety performance is quite similar to the record setting levels we achieved for the full year 2018. As you know, we strongly believe that safety performance is a leading indicator of strong operational results. The rapid improvement in these safety metrics provides further evidence of the deep and robust integration management process underway within LyondellBasell. All employees want to go home to their families safely and we're grateful for the sense of ownership displayed by our employees and their frontline supervisors. We look forward to driving further improvements towards our goal of injury free operations. And now, Thomas will provide more detail on our financial highlights for the first quarter.
Thomas Aebischer: Thank you, Bob and good day to all of you. Please turn to Slide 5, which illustrates developments within our Company over the trailing 12 months. Our portfolio of diverse petrochemical businesses continues to be a source of resilience during times of challenging market conditions with improvements in two segments partially offsetting declines in other segments over the past year. As Bob mentioned, during the first quarter, five of our six business segments posted higher profitability relative to the previous quarter. Total EBITDA for the trailing 12 months declined in comparison to a relatively strong prior-year period. During the first quarter, we incurred service disruptions related to the March fire at a third-party terminal in the Houston Ship Channel. The impact was primarily felt within our Intermediates and Derivatives segment and was not material to the Company's first quarter result. We are still assessing ongoing disruptions and we expect second quarter impact will be similar to slightly higher than the first quarter. In North America, falling ethylene prices had declined faster than feedstock costs and the steep drop in propylene prices drove first quarter margin compressions for olefins. In the rest of the world, olefins and polyethylene margins improved on the back of strong volume recoveries, relative to the fourth quarter. Our Intermediates and Derivatives businesses exhibited stability with relatively balanced markets, persisting through a - the typical slow fourth and first quarters. We continue to run the Houston refinery well with our ninth consecutive quarter of strong operations. Unfortunately, high gasoline inventories and low discounts for heavy sour crude oil, resulted in historically low refining crack spreads during most of the first quarter. Our technology business delivered another quarter of outstanding results with continued improvements in licensing revenue that increased over both the prior quarter and the last 12 months. On Slide 6, you can see that LyondellBasell's businesses generated nearly $660 million of cash from operating activities during the first quarter. During the first quarter, we managed our debt portfolio by entering into a $2 billion term loan at favorable rates that was used to early refinance $1 billion of bonds that were due in April, 2019, which the balance used for general corporate purposes. Beyond our quarterly dividend, our strong cash flows provided ample capability to continue our investments in organic growth projects, while returning $512 million to shareholders in the form of share repurchases. The quarter closed with over $1.3 billion of cash and liquid investments on the balance sheet. Please turn to Slide 7. The chart on the left illustrates our cash flow performance over the previous four years and the trailing 12 months. During the last 12 months LyondellBasell generated more than $5.1 billion of cash from operating activities. Capital expenditures during the first quarter were nearly $600 million, with roughly 40% allocated to sustaining CapEx and the balance invested in profit generating projects. We expect that investment will slightly increase over the remainder of the year, as we complete the construction of our Hyperzone PE facility and accelerate the activity for building our PO/TBA plant in Houston. We believe that operating cash flow after accounting for sustaining capital expenditures provides visibility in our cash flow that is available for purposes such as dividends or accretive re-investments such as share repurchases, organic growth, or M&A. The chart on the right side of the slide illustrates our total liquidity for the same period, the decline in 2018 reflects the acquisition of A. Schulman. Liquidity improved during the first quarter of 2019, primarily due to the new drawn and undrawn term loan facilities. We closed the quarter with total liquidity in excess of $8 billion. With that, I will turn the call back to Bob. Thank you very much.
Bob Patel: Thank you, Thomas. Let's turn to Slide 8 and review our business results. In our Olefins and Polyolefins-Americas segment, first quarter EBITDA was $516 million, $115 million lower than the fourth quarter. Results were driven by lower margins due to well-supplied markets for most products. Olefins results declined by $130 million compared to the fourth quarter 2018, driven by a decrease in ethylene price, but more than $40 per metric ton. Propylene prices also fell with the decline of more than $300 per metric ton. These price declines largely offset reductions in feedstock costs. Ethylene operating rates remained strong during the first quarter, averaging 93%, exceeding industry rates by 5%. We continue to optimize our cracker feature to benefit from lower NGL prices and found opportunities to capture discounts for un-purified [indiscernible] grade NGL feedstocks in our US Gulf Coast system. 83% of our ethylene production was from ethane and 93% came from NGLs. Polyolefins results decreased by $30 million during the first quarter. Margins declined in both polyethylene and polypropylene, partially offset by an increase in polypropylene sales volume. Polyethylene chain margins are showing signs of improvement in April, as feedstock price trends - prices trend lower and we enter the higher seasonal demand period. Now please turn to Slide 9 to review the performance of our Olefins and Polyolefins-Europe, Asia and International segment. During the first quarter, EBITDA was $296 million, a $169 million increase over the fourth quarter, representing 133% improvement. Results were driven by increased volumes in all products and margin improvements for both ethylene and polyethylene. Market conditions improved with the strong recovery of polymer volumes following an unusually slow fourth quarter. Olefins results improved more than $95 million. Volume and margin increased, driven by the completion of planned maintenance in our cracker investment in Germany, partially offset by some unplanned maintenance across our system in the first quarter. Combined polyolefins results increased more than $55 million. Polyolefin sales have rebounded in the first quarter, with the volume improvement of 18% for polyethylene and 16% for polypropylene. Our polyethylene chain margins improved in the first quarter, as fixed and variable costs declined, due to the completion of maintenance. Joint venture equity income increased by $25 million. Industry polyethylene chain margins in Europe have remained stable in the first quarter at $560 per metric ton. A similar level to the average seen in the region for the full year 2018. We see potential for improved margins in the second quarter with early indications of ethylene and propylene prices outpacing feedstock price increases. Slide 10 reflects the recently updated views of industry consultants on global supply and demand balances for both ethylene and polyethylene. Recent ethylene demand growth has outpaced new capacity, resulting in very high effective operating rates, exceeding 95% over the past three years. We continue to believe that any reduction from these high operating rates during 2020 and 2021 will be relatively modest. The industry's recent experience with delayed in the new capacity should not be forgotten. And any future delays will only serve to further improve upon this forecast. Polyethylene supply and demand balance is shown in the chart on the right, illustrates similar constructive trends. The upturn in the global operating rates for 2019 provides optimism for a good market to start our new Hyperzone capacity, while typical delays in forecasted capacity, could reduce the impact of the most - of the modest downturn projected for 2020 to 2022. New industry capacity for both ethylene and polyethylene will create short-term fluctuations, particularly in local markets. However, global operating rates are forecasted to remain in the mid-to-low '90s, as illustrated by the shaded horizontal bands on the charts, where we believe markets are balanced to tight, providing good profitability for our advantage producers. Please turn to Slide 11. Let's take a look at our Intermediates and Derivatives segment. First quarter EBITDA was $390 million, and a $11 million increase over the prior quarter. Results were driven by the balance in this business, as margins and volumes improved modestly. PO and derivatives results improved by nearly $30 million, volumes increased with completion of planned maintenance at our Bayport Texas facility in the fourth quarter. Intermediate chemicals results decreased close to $50 million, compared to the fourth quarter. Volumes declined for most products, margins decreased primarily for methanol and ethylene glycol, which was partially offset by margin improvements for styrene. Oxyfuels and related products results improved more than $15 million, as margins increased slightly due to lower butane feedstock prices. During April, European industry MTBE raw material margins have nearly doubled over level seen in the first quarter, and are exceeding the $225 per ton margins seen for the second quarter of 2018. This indication of constructive fuel markets coupled with low butane pricing provide support for earnings improvement moving into the second quarter. On Slide 12 I would like to highlight our Circular Steam Project, which is under construction at our Maasvlakte site in Rotterdam. In coordination with the Dutch government we are advancing on a sustainable project that contributes to the Dutch ambition of a 49% reduction in CO2 by 2030 through conserving energy and reducing costs. This project includes the construction of a new bio-based waste treatment plant an incinerator that deploys innovative technology to convert our water-based waste into energy. In short, the wastewater from our production unit will be separated into two streams. One stream will be sent to the bio plant for treatment to remove hydrocarbons, the recovered hydrocarbons then will be used as fuel for the incinerator. The second stream containing mostly caustic water will be sent to the incinerator where steam is produced and recycled back to our production units. The circular steam project will allow us to realize an annual reduction of 140,000 tons of CO2, which is equivalent to taking 31,000 cars off the road. Additionally, the project contributes annual energy savings of 0.9 peta joule which is equivalent to the annual electricity usage for 90,000 households. This project is not only a great step towards a more sustainable production process but also results in lower operating costs for our site. I look forward to providing you with updates as we make further progress on other sustainability programs. Now please turn to Slide 13 to review the results of our advanced Polymer Solutions segment. First quarter EBITDA was $148 million, a $62 million increase over the prior quarter. Results were driven by seasonal margins and volume improvements as the market showed modest recovery from an unusually weak fourth quarter. Results also benefited from our increasing capture of A. Schulman synergies. As we discussed in the two prior earnings call, transaction and integration-related costs to the A. Schulman acquisition were $49 million during the third quarter of 2018. Additionally, integration costs were $20 million in the fourth quarter of 2018 and $16 million in the first quarter of 2019. All results depicted here include these transaction and integration costs. Compounding and Solutions results for the first quarter were more than $40 million higher than the prior period, driven by seasonal volume improvements and higher margins following a modest recovery for the week automotive market seen in the fourth quarter. Advanced polymers results improved by more than $5 million when compared with the prior periods. Our plans for the integration of A. Schulman are progressing very well and delivering results. As I mentioned earlier, at the end of the first quarter, we have already captured cost synergies at an annual rate of $85 million. When you consider our first quarter EBITDA and add back the integration costs. We are nearing our expected quarterly run rate for this segment plus synergies. We anticipate continued strength in the business as we enter the second quarter, which is a period of seasonally higher demand for most APS products. I'm very proud of our APS team and their hard work and continued focus on integration and synergy capture. On slide 14. I would like to highlight the Engineered Plastics business, that we acquired from A. Schulman is now part of our Advanced Polymer Solutions segment. Engineered Plastics are similar to LyondellBasell polypropylene compounding products. But the compounds are made with different base resins such as nylon, styrenics, polybutylene or polyethylene terephthalate. The resulting polymer compound is developed mostly to replace metal and has high structural integrity and strength. It has low distortion and high heat resistance. There are multiple end markets for these plastics, including building and construction, automotive and recreational products. This slide shows two-end users for Engineered Plastics with which you may be familiar. [indiscernible] which is manufactured using our proprietary technology is a nylon compound used in the Duracell battery end cap assembly. This product helps to extend battery life and prevents battery fluid leakage. On the right you can see one of our styrenics alloy products that is used in manufacturing GPS domes used in John Deere farm equipment. The alloy provides improvements in UV stability and radio frequency transmission while reducing costs for our customers. Both of these products are sold to our customers in an easy to handle pellet form to facilitate manufacturing efficiency. Turning to slide 15. Let's discuss the results of our Refining segment. First quarter EBITDA was a negative $15 million, a $69 million improvement over the fourth quarter. Crude throughput at the refinery increased to 259,000 barrels per day following the completion of planned maintenance during the fourth quarter. Maya 2-1-1 crack spread reached historically low levels in January, but gradually improved and average more than $13 per barrel for the quarter. Unusually low discounts for heavy sour crude oil combined with high gasoline inventories created a challenging environment for our refining business during the first quarter. Fortunately refining markets corrected over the month of March and during April we continue to see substantial improvements in the Maya 2-1-1 crack spread. Slide 16, provides further detail of the refining spreads and shows the recovery in March and April. The price spread between Maya and Light Louisiana Sweet Crude has improved during the first quarter as shown by the dark blue portion of the bar chart. However, Maya pricing is still strong relative to other crudes due to the Maya pricing formula. Weak gasoline crack spreads in the fourth quarter persisted through February. The turquoise portion of the bar chart shows a significant improvement in gasoline crack spreads in March and April. As we enter the summer driving season we anticipate an improvement in the refining business through continued reliable operations and improved Maya 2-1-1 crack spreads. On slide 17, let me summarize this quarter's highlights. During the first quarter, we achieved earnings of $2.19 per share. Our O&P-EAI segment strongly rebounded from an unusually slow fourth quarter. Over the past 12 months our company generated more than $5.1 billion of cash from operating activities that contributed to funding for increased capital investment paying a top quartile dividend, completing over $2.2 billion in share repurchases and acquiring A. Schulman. Within two and 1.5 quarters of acquiring A. Schulman we've achieved more than half of our annualized synergy run rate target of $150 million for our APS segments. We're advancing construction of our PO/TBA facility and approaching the startup of our new Hyperzone polyethylene plant. We've continued to manage our portfolio through the acquisition of the same gas plant in La Porte, Texas and we're continuing to evaluate the Braskem opportunities. Going forward we see improvement in market sentiment with continued strong global demand. We expect most of our businesses to benefit from seasonal margin and volume improvements. Additionally as refining markets adapt to new marine fuel regulations will be ready to capture improved margins with our continued stable operations. Our global portfolio of businesses provides confidence in our capability to remain at advantage, resilient and poised to capture opportunities across a range of market environments. With all that said, we're now pleased to take your questions.
Operator: [Operator Instructions] Our first question comes from Robert Koort of Goldman Sachs. Your line is open.
Unidentified Analyst: This is Don Campbell on for Bob. There kind of the 4Q earnings call you noted some improvement in the first few weeks in January. It sounds like you're seeing something similar with the first few weeks of April. Can you talk a little bit about what you've seen in terms of demand sequentially across the four months this year across January, February, March and April and how that sequential movement and demand has trended this year versus maybe last year or years before?
Bob Patel: So we've continued to see demand grow sequentially in all of our products. I think what's been more noticeable is that because Q4 was so weak. We're seeing now the seasonal uptick in for example polyethylene and polypropylene globally. And that is more typical of the kind of demand we would expect at this time of year. And as I mentioned, in EAI the volumes are already back to levels that we saw in Q1 and Q2. So we're seeing very typical volumes, now that we're into the spring months.
Unidentified Analyst: And then for polyethylene prices, I heard that April negotiations and then the May negotiations as well. It seems to be a little bit of a mix bag. Brent crude is up close to 40% year to date, but there is new supplier continuing to come online in the market. So I guess, what are your expectations for April and May negotiations?
Bob Patel: Well, on the back of my earlier comment about volume improving, it would seem to me that, seasonally stronger period markets are to be much former. I think some industry consultants have pointed towards potential increases in Q2. And if you think about it, we're talking about flat to higher prices during a period when a historic build-out of new capacity is coming. And is already in the market, two thirds of it is really in the market already. And in my view, I think this is really the ultimate evidence that operating rates are quite high. And the new capacity is frankly coming online at a time when it’s needed.
Operator: Our next question comes from P.J. Juvekar from Citi. Your line is open.
P.J. Juvekar: As oil prices rallied this year, NGL prices have declined, and the delta is good for you. But on the flip side, polyethylene prices are also kind of they are stalled, despite the oil rally. So can you give us your view on how do you see the margin progression happens where oil is, and your view on Slide 10 with supply demand?
Bob Patel: Well, I think, first of all on the NGL side, you've seen NGL prices come off some, because the supplier has increased. And we've seen new pipelines come online from the Permian to Mont Belvieu for wide grade more fractionation capacity has come online. What's also really important PJ is that, the NGLs that are coming from the Permian now have more ethane, so there's less rejection. I think that all is a good setup for ethane. And with potentially modestly higher polyethylene prices through the Q2 and into Q3, we could see some margin expansion. I think pricing and margins have been stable, because there is new capacity coming, but it's coming at a time when it’s needed. So it seems to me that we have a very well balanced market with some tightness in seasonally strong periods.
Operator: Our next question comes from Steve Byrne of Bank of America. Your line is open.
Steve Byrne: Like to hear your views on whether you'd wait for a 20-F filing by Braskem, before you move any further than that, but really more importantly, this compounding business that you've expanded. The EBITDA in that business was essentially half of the EBITDA in your Olefins and Polyolefins outside of the Americas. I would assume, just a fraction of the installed assets. Can you talk about what it will take to grow that business from here. Do you need to acquire more or can you organically grow into new products in new geographies?
Bob Patel: So our first priority is to continue and complete our integration efforts with the A. Schulman acquisition. And as I highlighted in my prepared comments, we're making excellent progress and well ahead of schedule in terms of our integration effort. Once we have that platform established through the completion of the integration. I fully expect that we'll continue to evaluate other smaller inorganic opportunities. And along the way, especially in Asia, we'll likely have opportunities to build new plants as well. So I think we'll be able to do both, Steve, with respect to our APS segment.
Operator: Our next question comes from John McNulty of BMO Capital Markets. Your line is open.
Bhavesh Lodaya: This is Bhavesh Lodaya for John. Good morning. I would like to ask the demand question in a bit differently. After the de-stocking phase you saw in late 4Q and early 1Q, are we seeing the decent re-stock phase or our customers just running low inventories now. And also the volume growth we saw in the quarter, is there a way to separate both and I think the restock demand versus what you are seeing is core end market demand?
Bob Patel: Yes, good question. I mean, I think this is always a bit elusive in terms of being definitive. But I can tell you directionally, my impression is that, given the macro backdrop of trade and Brexit and all these other things that create uncertainty. I continue to believe that buyers are really kind of buying what they need. I don't think we've seen a significant restocking that occurred year-to-date. The increase in volume, I interpret that as an increase in the underlying market and how the market is developing. Also as is well known, buyers are expecting more capacity to come online. So in a backdrop like that, unlikely they would aggressively restock. So I think these are very healthy signs of underlying demand being very good and growing year-over-year, as we come into the spring season and into the summer season. Restocking, let me just add one other thing. Restocking, I think we just add another layer of growth, if and when it occurs.
Operator: Our next question comes from David Begleiter of Deutsche Bank. Your line is open.
David Begleiter: Bob, just on Braskem are we gaining some point we need to make decision in the next few months. And if the decision is no, is there a Plan B for M&A or capital allocation?
Bob Patel: Well, first of all, I mean yes, it has been a rather lengthy period that we've been discussing with our counterparts. But David, on the other hand, it is a very complex transaction that has – it's multifaceted one of the facets was raised in a prior question. So we're working through it very methodically and thinking through value creation and weighing sort of the risk reward very carefully. And if we don't do it, we do evaluate, have a very robust pipeline of ideas that we can develop. But just to go back to what we said at Investor Day, two years ago, which was that, our priorities are to continue to pay a strong dividend that's progresses, buybacks will be in the mix and funded by operating cash flow. And when it comes to inorganic, we have return hurdles we want to meet and will – our return aspirations will be adjusted based on the risk that we see in the transaction. So I think, all things are open and we continue to think about how we can build a great company over the long-term.
Operator: Our next question comes from Duffy Fischer of Barclays. Your line is open.
Duffy Fischer: Two questions around your Slide 10, which is the ethylene polyethylene supply demand. One, can you square Bob with your comment that two-thirds of the new capacity wave is already in the market. But yet on those charts, it looks like we peak in operating rates in 2019, and then move down each of the next three years? And then the second question would be, if we do move down in similar fashion to the way those charts are. What would your history and your gut tell you would happen to margins, if we left everything else equal, you know in natural gas, oil, all that stuff?
Bob Patel: There is a lot there in that question, so let me unpack it a little bit at a time. First of all, on the two thirds my comment really related to the U.S. capacity that's coming online. And I think we would have – but the numbers suggest that we're kind of in the latter innings of this round of capacity additions. And in fact in some cases the derivatives are already online before the crackers are online. And so from a polyethylene impact standpoint, I think we've largely seen the impact of the new capacity. Referring to the charts, this is the latest IHS data. So we decided not to provide our interpretation through the graphs, but perhaps through the voice over here. So if you look at IHS they've added quite a bit of new Chinese capacity, Wood McKenzie have not. So had we included the Wood McKenzie forecasts it's actually quite different. No history would suggest that likely we are going to come out somewhere in between. As you know and as all the industry watchers know that typically new capacity if anything is delayed some of this is still haven’t gone into FID yet especially in polyethylene. So I think we'll have to see, but what my takeaways are from these graphs is that even with a more robust a list of projects in Asia, you still see operating rates in the balance to zones still in the low to mid '90s. Any delays of a few units could flatten out the line more material delays could actually create an upward slope in the operating rate. So we're kind of right on the margin. And lastly, I would say if you think about the new capacity that's included now in the balances really most of the new additions are in the third and fourth quartile of the global cost curve. So they're not coming in advantage regions so I think to me all of that is a setup to say that we could have really very stable markets for a longer period of time. And if there are few delays or cancellations, you could actually see this operating rate graph turn up again. So I think we'll have to see, but our history globally in the industry has been that projects tend to get delayed and some still haven't reached FID yet.
Operator: Our next question comes from Arun Viswanathan of RBC Capital Markets. Your line is open.
Arun Viswanathan: I guess just a quick two part question. So first off stuff during the last quarter. And if you carry your statements out and just looking where we are on see margins you've seen a little bit of improvement in Europe, looks like the polymer side has increases recently. I know that North America folks have been trying to get a price increase in polyethylene for a little while. Your commentary sounds like it's potentially improving in terms of as we go restocking in Q2. My question is, I guess have you, do you feel that we've hit a bottom and polyethylene margins and you think we couldn't solely climb out of that and if so, how long would it take and maybe you can just include your thoughts again on the global capacity build out and I know it's obviously the upper end of the cost curve, but it seems like there's been recent additions of even more capacity in China. So maybe if you can just include that in your analysis that would be great?
Bob Patel: Sure. Well, again, I mean I think as you look at the new capacity coming online this year, not only in the U.S. but globally. It's really meeting the new demand growth that we see year-over-year and I think the demand growth projections are still similar to what we've seen before. Q4 was just extremely weak as we, as we look back on and because of the de-stocking and some of the macro concerns. I think buyers really, really pulled back and, but we don't believe that the demand growth trends have changed materially. So my view is that I think two thirds or more of the new capacity is in the market as we go through the rest of the year, demand will grow to absorb the remaining capacity that's coming online. And yes, somewhere in here in the mid of this year, we should make a turn as there is less capacity coming in 2020.
Operator: Our next question comes from Hassan Ahmed from Alembic Global. Your line is open.
Hassan Ahmed: Not to bore you with sort of yet another question on Braskem but obviously, it's an important one. Look, obviously we saw business conditions turn very sour very quickly in Q4. Right? And you guys always talk about being sort of very prudent in thinking about M&A and the like. So my question is that, let's assume this draconian scenario that over the next couple of quarters maybe the business environment becomes like the Q4 '18 again. I mean in that scenario, we saw sequentially Braskem's EBITDA go down by as much as 50%. Now, if that was the base case would you guys still consider that acquisition as accretive and would the synergy is still sort of justify that acquisition at that run rate of EBITDA?
Bob Patel: So I mean, first of all Hassan, it's a very good question.
Hassan Ahmed: And I know I'm being draconian.
Bob Patel: Yeah. I understand, but I think for us when we think about acquisitions of the size and magnitude of a Braskem. We've got to really take a longer-term view rather than one or two quarters. So, frankly speaking me what I would do is sit with my team and go through whether we think the business model has been altered or if there is some structural change in our view of the value creation from those assets. If there is, then we rethink it. But we don't, believe that to be the case. And so, I mean I think we just have to think through the reasons for this scenario that you described. And if its short-term versus long term. So that's kind of the deliberation we would go through.
Hassan Ahmed: And I would also imagine the asset quality is very high right thinking about replacement value and the like?
Bob Patel: Absolutely, and I’ve mentioned this on previous calls that we've been through diligence and one outcome from the diligence was that we've confirmed that indeed the assets are of very good quality. So again, it's about thinking long term rather than medium to longer term as opposed to the next quarter.
Operator: Our next question comes from Vincent Andrews of Morgan Stanley. Your line is open.
Vincent Andrews: You did a nice job of laying out what's happened in the NGL markets and think in particular, but as we look into the back half of the year as the new ethylene capacity starts up in the U.S,. Now where do you think price gets back, do you to think we're talking high '20s, low '30s, where do you see the price in the medium term?
Bob Patel: Vincent, it's hard to, sort of forecast a short-term run up in the price like we saw last year. But my sense is that as more of this ethane. So if you go back and dissect last year's spike, we'll call it that, there was actually less ethane coming down the Y-grade line from the Permian and other parts of West Texas down into Bellevue, that has now correct itself and there's a lot more ethane because there's new pipeline capacity, there are more fractionation capacity now, there is another one that's supposed to start up in the second quarter, incremental delays help propane and butane prices are very low right now and company like ours have also now validated our ability to crack Y-grade. So to summarize, first of all, I think there's plenty of ethane but if ethane prices were to rise because propane and butane are so abundant, I think they will quickly compete in terms of feedstock flexibility and now Y-grade will compete as well. So all of that should really allow the feedstock price to be relatively stable through the rest of this year and then next year there are six to eight new fracs coming in most of them are in the first half of the year and by our math is like almost 0.5 million barrels a day of new ethane coming to market in 2020. So I think there is a good base case here that says, we don't see a spike or any material sort of rising ethane price unless gas price changes or something.
Operator: Our next question comes from Aleksey Yefremov of Nomura. Your line is open.
Matt Skowronski : This is Matt Skowronski on for Aleksey. PO and derivatives results were up quarter-over-quarter. Can you kind of talk about what you think about PO supply demand for the rest of the year and maybe 2020 as well?
Bob Patel: Yes so, PO demand is still pretty good. We went through it a little bit of a soft spot in Q4 and there is some tied to automotive. So, but all of that seems to be recovering very nicely and we see our PO business being as solid as we've seen in years past, with modest year-over-year growth. I think given that you've asked this question, I think the more important driver in Q2 will be the TBA portion and the Oxyfuels. Because you know in Oxyfuels, we had - they did parallel to our refining business and that when gasoline values are low it impacts our Oxyfuels business as well. And so, gasoline recovering will help Oxyfuels values quite a lot. Blend premiums are up as well. On the cost side, butane is extremely cheap. So, we're seeing pretty meaningful upticks in Oxyfuel margins. So when I think about PO and derivatives together, the derivatives, especially Oxyfuels could provide pretty meaningful earnings improvement in Q2.
Operator: Our next question comes from John Roberts of UBS. Your line is open.
John Roberts: Bob, you've taken a leadership role in plastics recycling. At the IHS conference last night, it seems without them, was I just misperceiving how it went last month?
Bob Patel: Well, I - you are not misperceiving. I think they will join the broader movement. They already have initiatives in PET. And now it's just a matter of bringing it together under the umbrella of this alliance to end plastic waste. John, I think the key is collection of waste. And we start with the presumption that plastic waste has value. Then the highest priority is to collect it closest to the source, where the waste is generated. So it doesn't leak into the environment and we can reuse, recycle, recover the value that's in that plastic waste. And I think, those principles are universally applicable to all polymers. And we are really gaining momentum and on this alliance to end plastic waste. And you'll see more and more as the year progresses on tangible actions that the value chain are taking. Because ultimately, plastics are really a great sustainability story, the issue is dealing with the waste. And we're starting to see real solutions on how to deal with the waste. So I'm extremely encouraged and I think PET will join.
Operator: Our next question comes from Kevin McCarthy of Vertical Research Partners. Your line is open.
Kevin McCarthy: Bob, I was wondering if you could comment on the volatility we've seen in inventory levels of propylene monomer. Depending on when we start measuring, I guess have tripled from the bottom or doubled versus long term averages. And then we started to see some regression back down over the last six or seven weeks. So, could you comment on A, why they did they serge so high in late February or early March; and B, what is your outlook? Do you think that we've seen the peak and we come back down to more normal levels or has something changed there will be more durable or structural in nature?
Bob Patel: Yes, Kevin. You know our VC3 inventories of propylene inventories, they are really related to how well the PDH is drawing in. We've had the large new PDH as that have been built, and have been running better as my impression. And when you couple that with the slower demand growth that we saw, especially early in Q1, in January and February. I mean, both of those things sort of went in opposite directions. So demand was slow, the big PDH has ran very well. I think ultimately also refining FCC units have some role to play in this. So FCC run well you get, more propylene as well. So propylene has been volatile for number of years now. And I think as these new PDHs run well and our part of the base load supply, we'll start to see these inventory swings moderate quite a lot.
Operator: Our next question comes from Frank Mitsch of Fermium Research. Your line is open.
Unidentified Analyst: This is the [indiscernible] William sitting in for Frank. Bob, I was wanted to follow up on the IND business. Obviously, you spoke very positively about MTBE into the second quarter. Last quarter you spoke about that business having a $1.7 billion EBITDA base case. Would you - would your comments be implying that, that we should start thinking about numbers north of that?
Thomas Aebischer: Well, Frank. Let's see how the year plays out. But we've said 1.7 to 1.8could be kind of the new normal in terms of the run rate for IND. And I think we're very much in that zone. And with cheap butane prices as they are today. Again, I think it points to the abundance of NGLs. And that business in particular really benefits when global butane prices are lower. And today you're seeing butane trading around 50% of crude oil value which is on the low end of recent ranges. So let's see how things play out, but we think certainly the 1.7 to 1.8 range, as the base case is still in a very good range to consider.
Operator: Our next question comes from Jeff Zekauskas with JPMorgan. Your line is open.
Jeff Zekauskas: Since the beginning of the year oil prices have gone from $50 a barrel to $70 a barrel. And the price of polyethylene in Asia and the export price in the United States, who really hasn't moved. Are you surprised by that and how do you diagnose that there's really been no change. Because normally those numbers really move together?
Bob Patel: Right, Jeff. It's a very good question. And I think it's really a result of a couple of things. First of all, in Q1, we still had demand that was coming off of very low levels. And as I said earlier in one of the other questions, is that buyers still don't have conviction to build inventory, I think they're buying what they need. And so, so those two things probably led to this more sideways movement in polyethylene price. But again it's during a period when we're seeing kind of the later innings of this new capacity build out. I think that set up is not so bad. Actually, because it indicates that markets are still pretty resilient. And there were still decent margins in Asia, even after some rise in the naphtha price. So think we'll have to see how this develops in - and as we come into the seasonally strong periods of April, May, June.
Operator: Our next question comes from Jonas Oxgaard at Bernstein. Your line is open.
Jonas Oxgaard: First of all I would like to thank you on behalf of humanity for first off going metric. And second for promoting waste incineration. Thank you.
Bob Patel: Well, Jonas we are an international company. So we decided we better just go to metric tons across the board and global company.
Jonas Oxgaard: You know, it could not have happened a decade early. The actual question though. Since the Asia polyethylene decided at the polypropylene floor now, which means polypropylene outlook becomes a lot more important. Do you have any views on where we can see Asia polypropylene going, both over the next year and if you think about the next five years or so?
Bob Patel: Well, we're still seeing very good demand growth year-over-year. I mentioned in my earlier comments that even in the U.S., we've seen volumes improve very well. There are some signs of stimulus being added in the economy in China. For example the VAT cut that was implemented recently. Typically our impression is that these, these actions to provide stimulus in the economy. You see those maybe 90 to 120 days later. So we think those should bode well for polypropylene demand growth over the time - over the summer months and going into the full year.
Jonas Oxgaard: Okay. And on the supply side?
Bob Patel: Supply side. I mean, I think it's well known. I think overall polypropylene operating rates are still very good. Globally, even with some new capacity coming in Asia and particularly China this year. So we continue to be very constructive about polypropylene going forward.
Operator: Our next question comes from Matthew Blair of Tudor, Pickering, Holt. Your line is open.
Matthew Blair: Looks like your refinery ran about 8% Venezuelan barrels approximately, just curious how you've been replacing those barrels this year, have you found any alternatives in South America are you running more Canadian or have you had to move to a lighter slate and run more U.S. shale?
Bob Patel: No, I mean, we’ve been able to buy some Colombian barrels and a little bit a few more barrels from other regions. And the challenge for us Matthew, in the refinery has been that the light-heavy differential is so leveraging to that refinery and we've had both sides of the equation go in the wrong direction frankly early on the sour side, we've seen reductions in supply from Venezuela, there is little bit less coming out of Mexico, OpEx cuts take out some of the sour crude and on the other side, the light crude LLS has come down, or has not gone up as much because there's a lot more supply coming out of the Permian, but I know you closely watch these things and you've seen that that differential is starting to open up again. As various market factors kind of normalized, so we think this is going to be a very important driver of earnings, the light-heavy differential normalizing in Q2 and Q3 and then while I'm talking about the refinery. I think IMO still in front of us, as we look at Q3 and Q4 and the new marine fuel has to be deployed in the system globally, so that would, there's compliant starting January 1 of 2020. So I think lot of these sort of extraneous factors are already starting to normalize benefit our refinery.
Operator: Our last question comes from Laurence Alexander of Jefferies. Your line is open.
Nick Cecero: This is Nick Cecero on for Laurence. So within the IND business more specifically ethylene glycol, it seems as though inventory levels in China had been climbing pretty rapidly for some time. So just wondering how quickly inventory work-downs can happen from current levels and then maybe just your view on supply demand dynamics over the next few years?
Bob Patel: Well, I'm kind of ethylene glycol. There is also a seasonality to that business. Because some of that ends up in PDT and summer months more demand for more disposable goods a fewer products, if you will. So my sense is that the inventory will get worked off and the thing to really watch there is more about the pace of new supply compared to demand growth just like we look at fundamentals in the other businesses and we see reasonably good patterns ahead of us. I think when you - Nick, when you think about our IND business. The biggest drivers are going to be PO, MTBE, methanol and styrene. And so we really kind of focus on those as the big drivers for earnings while BDO and glycols are important and sort of the bigger levers are the ones that I just described.
Thomas Aebischer: And with low cost ethylene in the United States. This is the best place to be producing ethylene oxide and ethylene glycol. So, that is helpful. But you're right, Nick prices have been very challenging this year.
Operator: And we have no further questions.
Bob Patel: All right, so let me close with a few closing thoughts. So you know as we look ahead to the balance of the year, as you've heard through my commentary and through our prepared remarks. We do see improvement in market sentiment continuing and supporting continued demand growth and more importantly tangible earnings growth. We see opportunities to grow our earnings through A. Schulman acquisition, our new polyethylene capacity that will come online later this year. The IND business some more pricing improvements that will come through as well as the Oxyfuels improvement that I mentioned earlier, refining margins we think are normalizing and most importantly, we're seeing that the light-heavy differential is opening up. So I mean I see in each segment of our business signs of sequential earnings growth as markets normalize and/or we implement our growth strategy. So with all that said, I look forward to giving you all an update at the end of our second quarter and give you a progress report on our growth projects as well. So with that, we'll conclude our call. Thank you very much for your interest.
Operator: Thank you for your participation in today's conference. You may now disconnect at this time. Have a wonderful day.